Operator: Greetings and welcome to IPG Photonics' Fourth Quarter 2020 Conference Call. Today's call is being recorded and webcast. At this time, I would like to turn the call over to Eugene Fedotoff, IPG's Director of Investor Relations, for introductions. Please go ahead sir.
Eugene Fedotoff: Thank you, operator, and good morning, everyone. With us today is IPG Photonics' Chairman and CEO, Dr. Valentin Gapontsev; Chief Operating Officer, Dr. Eugene Scherbakov; and Senior Vice President and CFO, Tim Mammen.
Valentin Gapontsev: Good morning, everyone. We are pleased with our fourth quarter results as we delivered revenues that was 10% higher than the fourth quarter 2019 and was our guidance range. In addition, book-to-bill was above one in the fourth quarter as we saw the traction in order flow that in the third quarter continue during the fourth quarter and into 2021. We are benefiting from the advantages of our leading-edge products, technology differentiation, low-cost production capabilities and the global footprint. We continue to see strong revenue in China which was significantly higher on year-over-year basis as volume growth more than offset on overall selling prices in the region. We're also pleased to see a sequential improvement in the revenue in the Europe and strong sequential revenue grows in North America in the fourth quarter. Our system sales also improved modestly, but continue to be below last year, primary due to the impact on the economy from COVID-19. We are demonstrating good progress in our core markets, thanks to our technology differentiation and low-cost production capabilities. In high power lasers we delivered strong year-over-year growth in both our rack mounted 1 to 4 kW lasers for the high-volume market and our ultra high-power lasers for leading-edge cutting systems as sales of lasers above 6 kilowatt increased 34% compared to the fourth quarter and were 56% of total high-power sales. 
Eugene Scherbakov: Thank you Valentin, and good morning. The impact of COVID-19 on our production capabilities continues to be minimal and we are focused on ensuring the safety of our employees with social distancing and enhanced cleaning and filtration measures in place. Otherwise, we are operating normally. Despite the increase in COVID-19 cases in the Northern Hemisphere with the fall and winter, production has remained fully operational and we managed COVID-related absences effectively. 
Timothy Mammen: Thank you Eugene and good morning everyone. Revenue in the fourth quarter was $337 million, and increased 10% year-over-year driven by growth from most of our key product lines. Revenue from materials processing applications increased 10% year-over-year and revenue from other applications increased 12%. Sales of high power CW lasers increased 17% and represented approximately 55% of total revenue. Sales of ultra high power lasers above 6 kW represented 56% of total high-power CW laser sales. Pulsed lasers sales increased 55% year-over-year, with strong growth driven by high power nanosecond pulsed lasers used in EV battery manufacturing, green pulsed lasers used in solar cell manufacturing, as well as higher sales of our new UV and ultrafast pulsed lasers which were partially offset by lower sales of low power pulsed lasers for marking applications.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session.  Our first question comes from John Marchetti with Stifel. Please proceed with your question.
John Marchetti: Thanks very much. Tim, I was wondered if maybe you could just talk about some of the puts and takes on the longer term view. I know you mentioned that the underlying fundamentals continue to get a little bit better here. But as we're looking out through the course of the year, all else being equal, would you expect that we're back to -- sort of getting back in line with a double-digit revenue growth range maybe off of 2019, as opposed to 2020, given that 2020 was such a challenging year?
Timothy Mammen: Yeah. We're not going to comment on annual guidance or targets. And so, except for your last comment, John, I think we're talking about puts and takes, so, a number of them articulated in the script. First of all, the continuing shift to higher power lasers for cutting applications, a lot of the new product introductions, we're very optimistic about the handheld welder and growth in revenue from that. All of our emerging products in Q4 performed really exceptionally well, of course, pretty broad portfolio of items that are starting to drive incremental growth. So, whether it's the green lasers, the high power nanosecond pulse lasers for EV, some increasing traction for ultrafast and UV. Medicals performed very well during the whole course of the year with the lithotripsy application. Other newer product introductions, the multi-channel QCW for displacing YAG lasers in spot welding. We had good orders for AMB. So, if you continue to see traction and momentum across what is now a pretty broad base and diverse set of products and applications, we continue to see improvements in -- we referenced, again, some of the key macro economic indicators that we follow, certainly this year looks like it could be set up for being significantly better than the last two years we've been through. I mean, the key issue will be to get out of some of the volatility that we've seen that's sometimes impacted the second half of a year as has happened in 2019, or has resulted in a slow start to the year as the pandemic did last year. So, the main target is to get out of more of the volatility and get to sort of consistent year-over-year growth on a quarterly business, and we've got significant drivers for that.
John Marchetti: Got it. And then maybe just as a follow on the gross margin side. As we're looking out over the next several quarters, any expectations that we should assume maybe some additional charges like we saw this quarter, or really treat that more as a one-off here in 4Q and we're back to a more normalized environment for gross margin as we're looking out over the first half and into 2021. Thank you.
Timothy Mammen: Yeah. I'm much more -- definitively expecting a normalized gross margin print over the coming a year. We've -- during the course of the year, not just in Q4, given some of the volatility related to the pandemic, we have had significant inventory provisions and charges and the last -- the final charge and the end of the quarter, I think positions us well for a more normalized operating position going forward. So, I think, we've got a good start to the year in that context as well And on the other side on gross margin, we've got other benefits coming through from some of the product mix, as we continue to grow revenue, better absorption of fixed costs. And then, if for example, the ultra compact laser starting to generate more meaningful revenue, that is a meaningful improvement in gross margin we expect from that. And then even taking the design changes on the ultra compact and rolling them into higher power lasers up to I think, 7 or 8 kilowatts -- up to 8 kilowatts they're going to be used in. So, there's a lot of other initiatives on cost reductions as well that we're optimistic about.
John Marchetti: Thanks, Tim.
Valentin Gapontsev: Valentin speaking. We expect for this year our gross margin to return back to our usual trend, above 50%. But we were very careful with for the current quarter we reported -- situation for quarter three, quarter four is not better result. So, quarter one, quarter two absolutely promising on there for target but of course, this year we -- our guidance, so very, very careful we consider it.
John Marchetti: Understood.
Operator: Our next question comes from Tom Diffely with D.A. Davidson. Please proceed with your question.
Tom Diffely: Yes. Good morning. Thanks for the question. When you look at the strong activity, sounds like you had pre-Chinese New Year in China on the order front, do you expect China to grow as a percentage of the order book over the next couple of quarters? Or is that being matched by growth in some of the other regions?
Timothy Mammen: Tom, relative to like Q1 last year when China order flow slowed down dramatically. And then it really picked up in April and May. I would expect in total China order flow to remain relatively consistent as a percentage of the total, because the growth in Europe and North America is also starting to recover more meaningfully, the growth in some of the emerging products as well, that are not just strong in China, but are strong elsewhere. So tonally we expect more of a -- an even contribution in a rather less China centric focus perhaps on revenue for the year, but not withstanding that China order flow has really been very strong prior to Chinese New Year. For example, not just a shippable orders, but even a frame agreements has been very, very good. And those are generally a place to get licenses, so that shipment can take place during the course of the year.
Valentin Gapontsev:
. :
Tom Diffely: Okay. No, thanks for the extra color. That's helpful. And then as a follow-up, how big is the EV battery market right now for lasers? And where do you think that goes over time?
Timothy Mammen: I think it's -- I don't have a definitive number on that in terms of where it is today. The message we gave on it is that it is a potential decade long investment cycle. And if EV vehicle production is going to get to the levels that are expected -- people talking about 25%, 40%, even 50% of total vehicle sales over a 10 or 15 years, it will drive hundreds of millions of dollars of laser-based investment for EV battery manufacturing and even laser-based investment EV auto vehicle manufacturing itself. So, it's a long-term significant opportunity with hundreds of millions of dollars of laser-based processing required for that. Even some of -- I noticed some of the battery tech -- older battery technologies like cylindrical, which we're not using much laser-based processing seem to be evaluating lasers more and more now.
Tom Diffely: Okay. Great. Thanks for your time today.
Operator: Our next question comes from Nik Todorov with Longbow Research. Please proceed with your question.
Nikolay Todorov: Thanks. Good morning, guys. Tim, in the life up cycle you guys have been very consistent and putting about 60% incremental gross margin. I understand guiding sales is difficult, but how should we think about the incremental gross margin, you highlighted multiple cost initiatives? Should we think about that 60% as a base case, or you could see some upside? And also, can you talk about what are the limitations of rolling that ultra compact design above 8 kilowatts? And I have a follow-up. Thanks.
Timothy Mammen: I think, some of the incremental gross margins are probably not far off where we were historically, maybe a little bit below that 60%. The one thing below the line we're cautious on is as we get into a more normal environment, we tried to call this out on the script is that it's operating expenses. You get more travel and trade shows and other activity in a more normal environment. OpEx will probably pick up in the second half of the year a little bit. So that drop through won't be straight to the bottom line. In terms of the other question about migrating the design of the ultra compact to higher power lasers, Eugene, you'd like to talk about that and a potential rollout over time.
Eugene Scherbakov: In phase four, we have several generations of compact lasers. Starting -- I mean, I'm talking about high power lasers, of course. They power more than 2, 3 kilowatts. And the first stage was already demonstrated and we already shipped sales into such kind of laser. The next step was to use a rack mounted compact laser for high power applications. I mean, this power more than one, two, three, and four kilowatts. Again, such kind of lasers all the way to supply to all the customer effectively for festival, for cutting also for building application. The next generation is introducing this year. It's much more compact, is output well up to 8 kilowatt. If you go to the next stage and its first results demonstrates very good performances. And we're absolutely sure that it will be the next generation of ultra compact rack mounted laser cutting application. And very important that based on this design, they can dramatically reduce our cost of production and of course, propose to our customer better price. Such kind of situation is compact and ultra compact lasers.
Nikolay Todorov: Okay. Very helpful. Thanks. And just to follow-up, maybe, can you guys talk about the adoption curve that you expect for the handheld welding laser? It sounds like you guys have received -- you've mentioned extremely positive feedback. How much do you think do you have to educate the customer or to kind of prove their point? It seems like they're seeing the benefits outright, just trying to see, what are you thinking in terms of the adoption curve?
Timothy Mammen: VG, do you want to take that?
Valentin Gapontsev: Our shipments are normal, only United States, so it's when we sedated more than 24,000 only small drops, which use this manual welding to instrumentation. 24,000 only U.S., but also large OEM  also use, but even if they -- each of them will buy only one unit, it’s 24,000 units, 24,000 units worth $600 million, only one basically, but if it goes as small drops off 10, not one, two, but 10, it’s all -- all wanted to  five times more. So, it's hundred thousand for each from -- we now provide for testing for this estimation more than 70 -- only U.S. more than 70 such drop, they sourcing this fantastic devices, recommend only cutting, welding -- cutting, welding increase six to seven times, six or seven times quality of welding much, much higher than with the regular, but simultaneously clean -- immediately clean such. It's pretty -- where would you -- after revenues, now, they will say  and mix, regular they have to use chemicals then to clean this in any case quality of final cutting. Now they don't need to wait for one time put by way in additional motor operation, the same way that the OLED clean easier. So, the people would saw fantastic improvement. So they only waiting, waiting -- they are waiting OLED due to come formal  qualification for electrical emissions. So now we have it in the U.S. for emission. It started only a few weeks started to ship unit to sell to customers before we covered orders. So we're doing this year or we will have some thousand. Next year it would be 10,000 units. So, very fast for production  market and with competition for -- during next one or two years in a way that would be difficult because very innovative -- anybody care.
Timothy Mammen: And the other point, it is easiest to use as well. It’s easier to use. So the training of the welder, the skill of 
Valentin Gapontsev: Very easy to use. The normal welder -- you have to train many months, even more. It's going to be some -- you don’t any question from your students  after only few hours, demonstration presumably introduction kind of immediately. So, practically, it’s available to everybody today. It's also normal advantage, because quantity of professional welder now decreasing.
Nikolay Todorov: Got it. Thank you.
Operator: Our next question comes from Jim Ricchiuti with Needham and Company. Please proceed with your question.
James Ricchiuti: Hi. Thank you. Good morning. On the topic of the handheld lasers, I'm wondering, are you going to market any differently with this product offering, just given the size of the market and the price points? And how are the gross margins on this product?
Timothy Mammen: How's it going to market, at the moment we're rolling it out in a phase manner with some of the key. We had a lot of job shops come into evaluate it. And we're also looking at potentially some distribution arrangements that will potentially also have to expand some of the salesforce as volumes ramp up to support what is a much broader base customer list compared to our typical OEM based. So, we're continue to evaluate how best to get to that efficient model around it, Jim. But typically we've invested in this stuff as we've grown the revenue on it to get that return simultaneously. We may use a few more distributors around this as well. And the gross margins, by the way on the products are very good, benefiting from some of the design improvements around the ultra compact lasers.
James Ricchiuti: Okay. And a follow-up question is, you showed a nice recovery in the U.S. -- at least on North America, at least on a sequential basis. And I'm wondering, as you look at that business over the next couple of quarters, how sustainable do you think it is? Is it broadly based? And are you feeling comfortable that that recovery in the U.S. is sustainable?
Timothy Mammen: Yeah. The underlying materials processing business has improved. In fact, some of the order flow in Q4 with some of our specialty AMB lasers, the battery processes was also in North America. We still have some revenue to recognize on advanced applications. Medical growth will continue to be -- it's not going to quite as strong as it was last year because we came with such a small base, but the medical business has continued to perform well. We've got increasing visibility into medical sales in the second half of the year. The green laser is going to Southeast Asia, although they're made in the U.S. at the moment. The backlog for those, I've mentioned, is good. I'd say the only thing we don't have longer term visibility into and which is more uneven and lumpy is some of the advanced applications, right? You're still waiting for some commercialization of the defense applications for that revenue to become more consistent and really start to grow consistently quarter-over-quarter and year-over-year.
James Ricchiuti: Thanks.
Valentin Gapontsev: We  share product, which not to wait from China. It is product for advanced applications and traditional cutting metal sheet. So then very positive increase essential up to 28%, but we are guided to increase up to 50% during a couple of years. 50% is the most of this product, new product, which we -- advanced applications we develop internally in U.S. So it's increase essential with sales in the U.S. also increase. Gross margin in the U.S. before the major contribution to the net income in the U.S. we receive from sales of diode and temporarily last two years, sales of diode decrease. And so income from diode decrease also. Now we work for positive growth in diode sales, it's for -- approach it from diode. And so also growth of advanced application same from U.S. and may develop in the U.S., not develop in the Germany and it is only in the U.S. mainly for some revenue . So we deliver American company we become one of the major generation -- major generator of revenue our target, American -- not just research centric, but also real -- of manufacture of new.
James Ricchiuti: Thank you.
Operator: Our next question comes from Michael Feniger with Bank of America. Please proceed with your question.
Michael Feniger: Hey, guys. Thanks for squeezing me in. Tim, I recognize that you may not want to comment directly on one of your competitors. I was just hoping to get a sense of the big picture here. Some investors fear that with this bidding war, because it creates a bigger competitor that could be much more aggressive attacking the industrial markets, being priced aggressive at scale of R&D. Maybe you can help us understand the competitive landscape in laser technology a little bit more, how IPG positions itself to maintain that leadership? And this type of bidding war, even if it's not direct you IPG, does it validate some of the mega trends that are accelerating with automation, EV, dual supply chains. Do you see more consolidation going forward around laser technology and automation markets? Just curious on your thoughts on that one.
Timothy Mammen: There is a lot of different elements, that question Mike. First is, we're not going to make a comment on the transaction and the bidding war that's going on out there. I think the call is really to focus on where IPG strengths are in not only the core industrial markets, but also in a lot of these emerging product offerings. So, in our core industrial markets, none of the parties that are involved in the process that is ongoing at the moment, really have any core strength and capability where IPG's core strength and capability is. So, we don't -- we view this as being separate from our core strategies and capabilities. In addition to that we've got a lot of emerging product development in areas that we've talked about the -- driving our growth with inherent advantages around the products that we have. So whoever the competitor is, IPG's fiber laser technology is unique in very many different ways. And we have this fundamental strength that comes from the vertical integration, the speed to development, the ability to get cost out. And as you can see from an increasingly diverse product portfolio, I think the main point that we make on this is that we get a significantly rate of return on our internal R&D and making limited -- very specific acquisitions relate to our ability to leverage our own technology. So, we don't view ourselves as being a consolidator in the industry. With regards to some of the other trends, I think, yes, they're perfectly apparent, right? The flexibility, the automation, the increasing acceptance of lasers across many different applications and technologies. Flexibility, we call out, for example, energy is becoming perhaps more fundamentally a driver for IPG where we're the only company that has a -- electrical efficiency approaching 50%. Nobody else is close to us on that. So, you really have to, I think, look into some of the very specific benefits that we have rather than an advantage we have rather than look at what may or may not be a larger scale company that will have competitive advantages against us. We don't think that they will. Finally, I don't know -- beyond this has already been quite a lot of consolidation within the industry. So there's a limited number of large targets that are left out there. The largest other competitor that's out there for us is actually a private German company. So, consolidation has already taken place a bit more meaningfully to varying degrees of success I'd say.
Michael Feniger: Perfect. Thanks. Thanks for that, Tim. And just following up, if we get the higher end of your Q1 guidance and you see a typical 15% to 20% sequential growth in Q2, you're kind of starting to knock on that $400 million sales figure level. Do you have more confidence around the ability to drive gross margins above 50% at that point? Just help us understand what type of margins when we start getting into these types of buckets of revenue ranges?
Timothy Mammen: So, I think Valentin alluded to that earlier in the call that, certainly getting back to the -- I'm a little bit more conservative, right, but getting back to the top end of our 45% to 50% guidance range. And then, really, if you start to see revenue get back up to that $400 million level without guiding above that at the moment, we've got all these cost production initiatives and Valentin is increasingly comfortable that we're going to get back into what I would call more than optimal gross margin operating model, as compared to just being best in class, which we are at the moment.
Operator: Our next question is from Mark Miller with The Benchmark Company. Please proceed with your question.
Mark Miller: Thank you for the question. You've indicated several times about the opportunity in battery welding for EVs. But there there's a chip shortage going on, that's impacting auto sales. Do you see that having any impact on you over the next couple of quarters?
Timothy Mammen: No, Mark. We don’t think that the chip shortage in -- the semiconductor industry is going to affect us. Even though it is affecting the auto industry in terms of some facility shutdown. We don't expect it to have an impact on our growth and we don't have any visibility into it having an impact on us. We do not have any similar supply chain issues facing us at the moment, given all those integration. And we also have inventory of electronic components, for example, that we've built up.
Mark Miller: Germany sales were also down sequential in year-over-year. Is it -- is that it COVID also like the case in Japan?
Timothy Mammen: I haven't looked at the German number, practically. Overall, Europe was up sequentially. So you saw -- I can't remember exactly where it is, maybe in some slight variation in where revenue in Europe was generated. But overall Europe we're actually pleased with in total. Rather than looking at Germany specifically, we look at the whole of Northern Europe and then Italy, and even in a Western Asia, Turkey, there was some sequential improvement even though single digit. So, yeah, I haven't got any more commentary around that. I think Europe was better.
Mark Miller: Thank you.
Operator: Our next question comes from Joe Wittine with Edgewater Research. Please proceed with your question.
Joe Wittine: Hey, thank you. Good morning. I wanted to ask on welding. Obviously, EV battery is up on AMB and there's also a ton of interest in the handheld, which isn't surprising. But Tim, beyond that, how are you kind of viewing the broader macro welding market adopting laser -- and that includes both standalone lasers and then your systems mix as the broader cycle turns here and cost of capital as well. Could there be kind of a tipping point in play for that market where the adoption has been slow over time?
Timothy Mammen: Eugene will address this.
Eugene Scherbakov: About the welding market, yes. Now, it's driving by EV vehicle applications, but in welding -- but in cutting and foil cutting and so on. But in principle, our advantage is that we are not supplying today for such kind of cutting only lasers. We are supplying also our components -- I mean, different kinds of optical heads for cutting or for welding, blast monitoring system like LGD, blast shield laser specialist produce for such kind of applications. And finally, we start to produce a complete system for buttery welding. Already supplied to some customers, automotive customer, and now we're ready to supply additional such kind of system to the customer. And for us, it's not a new product, but nevertheless for us as a new opportunity. And we see as a very good opportunity for us to supply -- again, not only the lasers, not only components for this application, but complete systems in Europe, in China, and also in the United States. In total welding market, it's growing well. Of course, not only connected to the automotive publications, not only to EV vehicle, but also for other applications, for example, for also -- based on -- basically of course, first of all, from different kinds of metal welding, but this demand is growing definitely year-over-year.
Joe Wittine: Okay. I wanted to go back to the comments on rolling out features from the ultra compact designs to higher power units up to -- I think you said up to 8 kilowatts. I guess, I'm curious there, what sort of trade-offs do you need to make? Is it efficiency? Or could it be flexibility and durability? And going forward from a product offering perspective, do you plan to offer those units side-by-side these, -- 8 kilowatts, for example, with the ultra compact functionality versus your kind of existing full featured, if you will. I think that'd be interesting. Thanks.
Eugene Scherbakov: First of all, we'll make -- when we producers such kind of ultra compact lasers. We’ve also produced a special components, of course. And this is why we have to dramatically decrease our cost of production for such kind of laser. But you see lasers producers -- such kind of laser produced, first of all, for cutting applications, but our customers must be ready to adopt this laser to their systems. Of course, they need some time also to change their design and to implement our ultra compact laser for this application. So exchange -- if there'll be not exchange, there'll be some new machines. It will be a much more compact, much more efficient final machine, for example, for cutting. From this point of view, you'll see very good opportunity. First of all, of course, better efficiency, better compartment, but first of all, better price for our customers.
Valentin Gapontsev: All of you that, for example,  CO2 laser for cutting -- high power fiber laser. We work 10 years, not one, not two, not five . So fiber laser the magic for cutting quality from points of postage of mainly customer usage. So 10 years with granted now with CO2 cutting business, but the 10 years, not one, two, three, five, 10 years, you guys just immediately, during only few months, we replace this with any new product -- fantastic new product. It's not hideous. It's a long process, but now with them in cutting business, nobody is  then solar never will cut two or three millimeters, they never will cut five millimeters. Now with 50 millimeters we are cutting successful. Not only -- cutting our  we never talked about to replace. It's gone. It's about the run rate, not to be so naive that we're missing much further than other people, but it takes time.
Timothy Mammen: Sure. The only other part of your calling was there is not trade off. I mean, we've never introduced a new product that has less reliability or lower electrical efficiency. This uses all the same optical components, but it has a much more compact electro-mechanical and sophisticated design around the electric mechanical. So, there isn't really a trade-off in terms of those parameters.
Joe Wittine: Perfect. That's great color. Just what I was looking for. If I could squeeze one more in. The 20 to 30 kilowatt, curious what geographies those units are shipping to, if that's just kind of the pencils and et cetera, of the world in China? Or is there interest in the West, and then what are the relevant applications there? I'm assuming for cutting perspective, you run into some edge quality issues at that power level?
Eugene Scherbakov: Probably not limited on 20 to 30 kilowatt. Recently already received the request for 40 kilowatt laser for cutting applications. Of course, we are ready for supply such kind of laser for these applications. First of all, applications for catching some -- but number of this laser also use it for welding complication, but for a special applications, like for special materials and so on. But mainly for cutting applications. And you're right. Unfortunately, the first customer now is in China for such kind of applications, not in Europe, not in the United States.
Joe Wittine: Okay. Well, thanks and congratulations.
Timothy Mammen: Thank you.
Operator:  Our last question comes from the line of Paretosh Misra with Berenberg. Please proceed with your question.
Paretosh Misra: Thank you. Good morning and thanks for taking the question. Just curious that CapEx guidance for the year of $150 million to $160 million, can you provide some color as to some of the bigger projects included in that CapEx range and anything worth flagging us potential future growth driver?
Valentin Gapontsev: CapEx, first of all, we have to shift some CapEx construction, Eugene, first of all, for this year, you said 2020 because this construction and that represents hopefully for 20%, 30% all the time quality -- the way they did not get right material at the right time and so on. So all -- for example, one month delivery, but we will wait a couple of years to deliver -- to get even windows install and so on. It was awful time for construction this. Now we, of course, we need some additional first assembly facility. We need most of the opportunity  small new products in a while. We need new equipment we need for mass production and so on. It’s a lot of times. We have to improve and we're creating now what are we invested now, we invested in for future. We will work what will we need to improve the year. But we won't involve, won't deal with new facility when by installing this equipment technology. Now then  where we get our addition in production and so on. We don't have huge gap. It's normal. And we still very small investment. We will double this investment more. We prefer to invest in this to increase facility, increase our production and also whole demand in the automate some this absolutely not efficient acquisition new business. We are not buying a new business. We are not buying nickel. We're buying only some technology growth with some technology. We increase our technology choice. So, it's our strength, it's our future, but not just to buy absolutely different, not possible to, well, -- very good business in last year, but to manage our  investment business and become a large company, not manageable. We don’t see such mixture.
Paretosh Misra: Understand and really appreciate.
Timothy Mammen: It’s okay, Paretosh. Next question.
Paretosh Misra: Okay. Yeah. Sorry. And my follow-up was that I was hoping if you could provide some high level color as to how pricing and volume changed last year? Any color you could provide, would great.
Timothy Mammen: So, on a year-over-year basis, pricing was down in a more normalized 10% to 15%. It has been basically, though, much more stable over the last three quarters since Q2, Q3, Q4. So those -- sometimes when you see an improving demand environment, some of the antics that the Chinese competitors and not so extreme. The other part of this that we've talked about is that we're being more disciplined around pricing. We believe that the value of the laser technology is still extremely high, and that is the current pricing in the market. We're already displacing many existing laser and non-laser technologies and no -- more fundamental changes in pricing to drive that adoption are not required. So, I think good to see a bit more stability. You've obviously also had some benefit going to higher power levels for cutting applications. We have a competitive advantage. And then outside of that, the emerging product, for example, even high power nanosecond pulse lasers are very -- almost exclusive to IPG where we have a good ASP for some of those applications. So, mix has been a bit of a benefit too.
Paretosh Misra: Great. Thank you so much. I can close today's question-and-answer session. At this time, I'd like to turn the call back over to Eugene Fedotoff for closing comments.
Eugene Fedotoff: Thank you for joining us this morning and for your continued interest in IPG. We look forward to speaking with you over the coming weeks and will be participating in a number of virtual investor conferences this quarter. Have a great day everyone.
Operator: This concludes today's conference webcast. You may disconnect your lines at this time and we thank you for your participation.